Operator: Good afternoon. Thank you for joining Tetragon’s Investor Call. You are all in listen-only mode. The call will be accompanied by a live presentation which can be viewed online by registering at the link provided in the company's conference call press release. This press release can be found on the homepage of the company's websites www.tetragoninv.com. In addition, questions can be submitted online while watching the presentation. And as a reminder, this call is being recorded. I will now turn you over to Paddy Dear to commence the presentation.
Paddy Dear: As one of the Principals and Founders of the Investment Manager of Tetragon Financial Group Limited, I’d like to welcome you to our investor call, which will focus on the company's first half results for 2020. Paul Gannon, our CFO will review the company's financial performance for the period. Steve Prince and I will talk you through some of the detail of the portfolio performance, and Steve will spend time discussing the outlook. As usual, we will conclude with questions both taken electronically via our web based system at the end of the presentation, as well as those received since the last update. The PDF of the slides are now available to download on our website. And if you're on the webcast directly from the webcast portal. I would like to remind everyone that the following may contain forward-looking comments, including statements regarding the intentions, beliefs or current expectations concerning performance and financial condition on the products and markets in which Tetragon invests. Our performance may change materially as a result of various possible events or factors. So, with that I'd like to pass over to Paul.
Paul Gannon: Thanks Paddy. As a reminder, Tetragon continues to focus on three main metrics. We look at how value is being created by NAFTA share total return. We also look at investment returns measured as a Return On Equity or ROE. And we monitor how value is being returned shareholders through distributions, which are mainly in the form of dividends. The fully diluted NAV per share was $24 at 30th of June 2020. After adjusting for dividends reinvested at the NAV, the NAV per share total return, year-to-date is down 1.9%, which compares to up 8.1% for the same period in 2019. For monitoring investment returns, we continue to use an ROE calculation. For HI 2020, this was down 2.9%, which is ethical fees and expenses. The graph that you can see right now also shows what the return would be if it were annualized for the full year, which is down 5.8%. With reference to that target the average ROE, we achieve since IPO is 11.8%, which is within our target range of 10% to 15%. Later on in the call, we'll get more colors to how the specific asset classes contributed to the return this year. Finally, moving on to the last key metric, which is dividends. As a reminder, during the first half of the year, Tetragon modified his dividend a capital return policy to remove any specific dividend target payout ratio referenced the normalized earnings. Tetragon declared for the second quarter, which represents a year state dividend of $0.20. Based on the quarter end, share price of $8.76. The last four quarters dividends in aggregate represents a yield of approximately 6.5%. In addition, during the second quarter, the managers took advantage of the funds widened discount to NAV to repurchase $25 of shares, which was accretive to NAV by 1.8%. So, now on to what we call the NAV bridge. This breaks down into its component parts the growth of Tetragon's fully diluted NAV per share from $24.76 at the end of 2019, $24 per share at the end of the first half. So, looking in detail at some of the more component parts. Invested income reduced NAV per share by $0.47 per share. Operating expenses and management fees reduced NAV per share by further $0.21 with $0.04 per share reduction due to interest expense. On the capital side gross dividends reduced NAV share by $0.29. There was a net dilution of $0.20 per share which is labeled as other share dilution. This bucket primarily reflects the impact of dilution from stock dividends plus the additional recognition of equity based compensation shares. Finally, the impacts of the $25 million share buyback I mentioned previously was closed in June 2020 resulted in $0.45 of NAV accretion. I will now hand over to Paddy.
Paddy Dear : Thanks Paul. On previous calls, I would like to add on previous calls, I'd like to put the company's first half performance in the context of the long run. Tetragon began trading in 2005 and became a public company in April 2007. So the fund has 15 years of trading history. This chart shows the NAV per share total return which is thick line on the top, and the share price total return, which is the dashed line. The chart also includes equity indices, the MSCI all share and the FT all share and the Tetragon hurdle rate of LIBOR plus 2.65. As you can see, Tetragon has returned 287% in five years on a NAV total return basis to a near fourfold increase in value since IPO. The last six months return of minus 2.9% on a ROE basis in the first half compared with minus 17.4%, in FT all share and minus 6% for the MSCI global index. As you know, there's been a great disparity in various worldwide equity indices, because both the US NASDAQ and S&P are their highs for the year and their performance is dominated by narrow range and predominantly tech companies. Continuing theme of looking at the long-term. Here's some more performance metrics. Our return on equity or investment return target is 10% to 15% over the cycles. The average returns since IPOs is 11.8%. And as Paul has shown, the return on equity for the first half of 2020 was minus 2.9%. Long-term interest rates are down to their lows. The US ten year treasury yield is approximately 0.57%. So with risk fee rates so low, we should naturally expect all risk assets to return at the lower end of long-term expectations. And as with respect to Tetragon, this means that ex ante our return expectations are at the bottom end and could possibly even be below our 10% to 15% range. The last figure on this table shows that 32% of the public shares are owned by the principals of the investment manager and employees of TFG Asset Management. We believe this is very important because it demonstrates a strong belief in what we do, as well as a strong alignment of interest between the manager, TFG Asset Management employees and Tetragon shareholders. This next slide shows the composition of Tetragon’s assets. So, looking at the breakdown of the 2.3 billion of net asset value, and these colored disks shows a percentage breakdown of the asset classes and strategies as of the end of the 30th of June this year on the right, and compares them with the end of last year on the left. I would highlight some notable changes first growth and private equity from 12% to 15%. And this is as a result of the growth in the value of investments within the Hawke's Point Fund, which we'll talk more about in a moment. Second, the hedge fund exposure has actually remained constant, but worth noting that we've redeemed from QT, a onsite manager and put fresh capital into both the Polygon European Event Fund and the Polygon Convertible Opportunity Fund. And thirdly would note that it's been a small increase in cash over the first half. Moving on to the next slide, we can move on and discuss the first half performance in a little bit more detail. The NAV bridge the poll showed with a high level overview of NAV per share. And what this table does is show a breakdown of the competition of tactical NAV at the 30th of June 2020, versus year end 2019 and it does so by asset classes and the factors contributing to the changes in NAV. Thus this table shows investment performance, plus capital flows and that’s tying back to the change in NAV. Now as you can see from the bottom right hand side of the table, the aggregate investment performance labeled gains and losses generated a gross loss of 44.3 million year-to-date. And this was the sum of the various segments above. So, briefly I’ll move TFG Asset Management our private equity holding an asset management company had gains of 14.1 million driven primarily by equity. Our Hedge Fund strategies lost 50.9 million and there were losses in the QT Fund, which is externally managed comp fund. And these losses have been realized through the redemption of from that fund. We also have losses, hopefully unrealized in the European event driven equity fund and these are offset slightly by a small positive in the first half from the convertible opportunity fund. Certainly bank loans lost 42.2 million in the first half. These losses were driven by actual defaults, as well as changes to forward looking assumptions for US loans. So, our default expectations, recoveries, prepayment discount rate, etcetera. Moving down the table real estate had losses of 13.6 million for the first half. And you'll note that that's not much new from where we were at Q1. And then private equity and venture capital had the strongest performance with 39.3 million positive. And the primary source of those profits being from the Hawke's Point Fund would have strong performance from investment as it -- as those projects progressed, and benefited from the rise in the gold price. And finally, other equities and credit generated gains of 7.9 million led predominately by investments in public biotech companies. Now for more detail on each category, we'll start with TFG Asset Management and for that I'll pass over to Steve.
Steve Prince: Thanks, Paddy. Our private equity investments and asset management companies through TFG Asset Management, represented the largest asset class in the portfolio at the end of the first half, and produced $14.1 million of gains during the period. Equitix was a most significant contributor during the first half, with an investment gain of $33.2 million. This gain was primarily driven by a combination of investment performance, capital raising and capital deployment. During the first half of the year, European fund one reached a final close of €580 million. Fund 6 was launched along with associated managed accounts, raising approximately £500 million of capital and is anticipated to raise further capital by the third quarter. Equitix also had a first close of approximately $400 million for its Retiza joint venture with Oman Infrastructure Investment Management. This performance was partially offset by an increase in the discount rate applied in the discounted cash flow model to value the business. During the first half of the year Equitix repaid £25.7 million of their loan notes plus accrued interest or including accrued interest to Tetragon. Moving on to BentallGreenOak, this investment is valued using the present value of the various cash flow elements of the merger deal. That's comprised of fixed quarterly distributions. variable distributions, carried interest from funds and a put call option in 2026 2027. During the first half of the year, this investment made a loss of $8.6 million. This reflects an increase in the discount rate applied to the carried interest and the put call due to the prevailing uncertainty in the COVID-19 environment. TFG Asset Management -- nearly 13% of the combined entity LCM recorded a loss of $5.4 million, primarily reflecting a higher discount rate used in the discounted cash flow model. The AUM of LCM slightly decreased to $9 billion in June 2020 from $9.1 billion in December 2019. Polygon's value fell by $2.4 million during the period, primarily reflecting a higher discount rate in its DCF models. The value of Tetragon Credit Partners decreased by $2.7 million in the first half, mainly due to a decrease in the projected carry. The Tetragon Credit Partners Opportunity Fund and open ended hedge fund investing primarily in CLO Debt Securities launched on the May 1. In addition, Tetragon Credit Partners TCI-3 vehicle to put the remaining 17% of its uninvested Capital during the period. The NAV of Hawke’s Point remains small, with AUM of $121.4 million at the end of the first half. However, the Hawke’s Point team as previously mentioned, experienced strong results during the period in two of their investments. The valuation of this business is unchanged from the end of 2019. Banyan Square Partners was founded by TFG Asset Management in 2019, and is an investment management business focused on providing non-controlled structured and common equity solutions to financial sponsors. Tetragon's investment in Banyan Square Partners has not yet been valued by a third party valuation specialist. As of June 30, 2020, TFG Asset Management EBITDA was $37.8 million, 51% higher than the previous year, higher management fees, performance and success fees and increased distributions from BentallGreenOak were all key drivers for the increase. Management fees increased by 34% year-over-year driven mainly by Equitix performance and success fees also grew, they were up by 37% versus the first half of 2019. Again driven by Equitix. Other fee income, which is largely made up of income generated by Equitix on manager and service contracts was stable year on year. Distributions from BentallGreenOak reflect, one distribution from ongoing operations and two, distributions from carried interest up to 2019 June 2019, carried interest has made up nearly 80% of these distributions. Post the BentallGreenOak merger carried interest distributions are supplanted by the fixed and variable payments, agreed as part of that deal. For the first half of this year fixed payments contributed 7 million, with carried interest accounting for the remainder. Operating expenses increased by 11.6 million year on year. However, on an annualized basis, they're broadly consistent with the full year 2019. Paddy will now go over our hedge fund investments.
Paddy Dear: Thanks Steve. Tetragon invest in event driven equities, convertible bonds and quantitative strategy through hedge funds. And at the end of the first half, the majority of these investments are through Polygon managed hedge funds as you can see from this slide. Our investment in the Polygon European event driven strategies lost 47.1 million in the first half our investments in Polygon convertible bond fund made plus 2.9 million in the first half. Our investments in the Polygon global equity fund made 0.4 million in the first half. And lastly, our investment in the QT quantitative fund lost 7.1 million in the first half. And as mentioned earlier, this loss of the QT fund has been realized through redemption. And our investment is nearly fully redeemed out. We actually received 42.4 million in redemption proceeds during the first half. And we made additional investments in the convertible opportunity fund and into both versions of the European Knock Opportunity Fund, as you can see from the table. So, now moving to bank loans, Tetragon bank loans through CLOs by taking the majority position in the equity tranches. Tetragon investment, a split as we show in the table here between LCM deals, non-LCM deals, and then in the various funds TCI-2 to TCI-3 and as Steve has just mentioned the nascent newly formed TCP Opportunity Fund. As you can see, in aggregate of bank loan exposure recorded a $42.2 million loss during the first half of 2020. And this was obviously in the context of the COVID induced weakening US corporate credit fundamentals. These CLOs has experienced some actual losses, but also not valued at changes in the forward looking assumptions with respect to defaults, recoveries, prepayment spread, discount rate, etcetera. Notwithstanding that, during the first half Tetragon received 19.2 million in cash distributions from direct US CLOs investments, $2.4 million from TCI-2 fund and $3 million from the TCI 3 fund. And furthermore, at the end of the first half, all our CLOs were passing their interest diversement tax. Tetragon's commitment to TCI 2 is $70 million which is fully funded, and Tetragon's commandments to TCI 3 is $85.9 million, which is also fully funded. On May 1, Tetragon Credit Funds has launched the open ended fund that we've just mentioned, called the Tetragon Credit Partners Opportunity Fund. And this is looking to monetize dislocation opportunities, particularly in CLO mezzanine tranches, and Tetragon has invested $5 million into that strategy. Next, moving on to real estate. Tetragon holds most of its investments in real estate through BentallGreenOak Manage Funds and co-investment vehicle. And the majority of these are Private Equity style funds concentrating on opportunistic investments targeting middle market opportunities in the US, Europe and Asia. Where BentallGreenOak believes that can increase value and produce positive unlevered returns by sourcing off market opportunities versus pricing discounts and market inefficiencies. The Real Estate Investments had losses of $13.6 million in the first half. And that's not much changed from where we were at the end of Q1. During the first half, Europe fund and co-investment generated gains of $11.6 million and these are primarily driven by disposal of logistic assets in Spain and Italy. The US, France and co-investments had net losses of $23.8 million primarily driven by the downward valuation of a single building in New York. And in Asia, the funds and co-investments generated small gains of $2.1 million. Debt funds generated a very small positive of $0.1 million for the first half. In addition to the commercial real estate investment through BentallGreenOak Managed Real Estate Funds, Tetragon also has investments in commercial farmland in Paraguay, managed by Scimitar especially with manager in South American farmland. And during the first half the farm lands were revalued, which reduced the market value by $3.6 million. Now, I'll hand you back, Steve.
Steve Prince: Thanks, Paddy. Tetragon's private equity and venture capital investments are split into the following subcategories. Investments managed by Hawke’s Point, investments managed by Banyan Square Partners. Other funds and co investments where Tetragon invested a non-affiliated fund as a limited partner or in a special purpose vehicle as a co-investor. And finally direct, comprising direct private equity investments on the balance sheet, including venture capital investments. This bucket generated the largest gains for Tetragon's portfolio year-to-date in 2020 with net income of $39.3 million, as we've mentioned, driven by the Hawke’s Point investment. Tetragon's investment into mining finance via a vehicle managed by Hawke’s Point generated $33 million of net income during the first half, driven by substantial project development and corporate progress into Australian gold projects, in which Hawke's Point is the cornerstone investor. Both projects are anticipated to come online in calendar year 2021. This segment represents 5.2% of Tetragon's NAV. Tetragon's investment in Banyan Square’s fund generated a loss of $6.2 million during the first half of the year against a challenging macroeconomic backdrop since inception, the manager has been disciplined in employing new capital given the heightened valuation environment, but it does anticipate a more favorable environment to make opportunistic investments toward the end of the year. Tetragon had a 2% allocation to investments in private equity funds and co investment vehicles in Europe and North America. This category generated a small gain of 0.2 million during the first half. Investments in direct private equity stakes including venture capital generated net income of 12.3 million during the period. This category currently holds the investment in Ripple Labs. Our direct balance sheet investments in the other equities and credit category produced gains of 7.9 million during the first half. Our other equities bucket generated a gain of 9.2 million. These investments comprise European and US listed public equities. The other credit bucket generated a loss of 1.3 million in the period driven by corporate bond positions. Moving on to Tetragon's cash, our net cash balance, which is cash adjusted for known accruals and liabilities was 105.5 million at the end of June. At June month end Tetragon had a 150 million revolving credit facility in place, which was fully drawn. This liability had been incorporated into the net cash balance calculation. We are pleased to have announced that since month end, we've increased the size and duration of Tetragon's revolving loan facility, while also lowering its annual cost. Tetragon now has a $250 million facility in place with a 10-year duration. The company actively manages its cash levels to cover future commitments and to enable it to capitalize on opportunities to investments and new investment opportunities. During the first half of the year Tetragon use 93.2 million of cash to make investments $25 million to repurchase its share in the public markets, and 18.7 million to pay dividends. 222.8 million of cash was received as distributions and proceeds from sales investments. Future cash commitments are approximately 206.7 million comprising hard investment commitments, which includes BentallGreenOak funds of 65.6 million and private equity funds of 26.3 million and soft investment commitments, which includes Banyan Square partners fund of 85 million and the Hawke's Point Fund of 29.8 million. Our final slide looks at our future investment expectations. I'll go through a few of our expectations But it's always worth pointing out that one of our advantages is our ability to be opportunistic as it relates to investing in what we see as the most compelling investment opportunities at any given time. As mentioned before, we launched Banyan Square during 2019. Aside from Banyan Square, we have no upcoming new businesses to report. This remains the largest unknown in terms of cash requirements. We expect our event driven equity exposures, and our exposure to our convertible strategy to remain relatively stable. Our pre-crisis CLOs are now fully amortized. But we expect to continue to invest in CLOs via various Tetragon credit partners vehicles at the rate of approximately 25 million to 50 million per year. While we do have commitments to BentallGreenOak funds, as I mentioned, we would also expect some of our existing investments to continue distributing capital. So on the whole, we would expect our real estate investments to be relatively stable over the next 12 months. We expect our private equity allocations to grow over time. There are a few small additional fee commitments we have yet to fund. And we expect the Hawke’s Point and [Indiscernible] allocations to continue to grow. The other equities in credit is a bucket similar to TFG Asset Management. We expect to continue to invest in these opportunities, but the timing of those investments is less certain. Now I'm going to hand it back to Paddy to begin our Q&A.
A - Paddy Dear: Thanks, Steve. So that concludes the main presentation. We've got quite a lot -- quite a few questions. So I'm going to kick off. Firstly, the question reads, has the board ever considered changing the performance related component of the manager fees to be based on share price instead of NAV? And I think the best way to answer that and perhaps the only way is to give you some context of the history. Pre-IPO, so that is in 2005 and pre-2007. The fees were standard hedge fund fees for 2% management fees and a 20% performance fee with no hurdle. And then an IPO that was a new agreement, a bank, the existing investors, about $1 billion of existing investors. Obviously new investors i.e. those potentially coming in at IPO and indeed the board. And many things were contemplated, including one of the things contemplated albeit rejected was that the performance fee should be on the share price, not the NAV. But ultimately, what was agreed with the fee structure that we have today. So it's been in place since 2007 with one minor adjustment. It presented a reduction of approximately 40% from the 2 and 20 fee structure to the 1.5 plus 25 performance over what was originally an 8% hurdle and then move to LIBOR plus 2.65 which was 8% at the time of construction. So that is a history of, of how we got to the fee structure that we have. And there's a second question here that our link is it's about fees as well. And the question reads, more and more closed end funds are lower rate lowering their fee costs. Given the extreme discount price to NAV a Tetragon and the terrible stock performance, wouldn't it be a good idea to lower also the fee costs to make the stock more attractive for investors? Well, as I've just explained, the fees themselves were negotiated to be about a 40% discount to a standard hedge fund transaction. But perhaps more importantly than that, I think the net return to investors over the 17 years -- or sorry, over the 15 years of just under 11.5% net return. So net of both fees, and sounds to me like a very reasonable return. The other point I would make is whilst the short term share price has been disappointing, I mean, certainly this year with the widening of the discount to NAV. Actually, over the long term, the share price has performed well, notwithstanding the discount to NAV. But I would agree if people -- like not agree, but I would say that obviously, if people don't like the fee structure, they shouldn't invest in Tetragon. And that they're perfectly capable of making that that decision. Second, should here, have you considered radically improve reporting to try to reduce the blackbox perception? And I think this is an interesting and very personal question, because we're obviously very keen to provide what I would describe as optimal information for shareholders. We do carefully monitor what other funds disclose. And as you know, we provide monthly data sheets have a more fulsome quarterly. And then we have certainly a much larger semi annual, as you've just seen with 63 pages of information, and indeed a much larger annual report again. So, we do spend a lot of time focusing on what our disclosure is to the market. I also recognize that more information is not always better information. And I would note that we are always trying to balance transparency on the one hand, with a certain needs of confidentiality to either investment positions or trading strategies on the other, but with those caveats, we would certainly welcome any suggestions. If you think there's information that we don't provide that would be useful. Please get in contact with the with the IR team. Now, not too surprising later, quite a few questions on the dividend and share buybacks. So, I'll try and sort of tackle these in some sort of thematic process. So, one read, although I applaud the tender at an attractive discount to NAV, I would prefer to see Tetragon liquidate some of its marginal investments, rather than cut its dividend. With a negative market price return over the past seven years Tetragon only source of investor returns in recent years has been its dividend. So, obviously, I completely understand the frustration with the share price performance, which I would sort of focus on the last six months in particular, given the widening of the discount. So, over the COVID period, but I don't agree that selling an asset to pay a dividend is a suitable or sustainable solution in the long run. I would also say that the empirical evidence and this is from our own trading history, but I think it's the same for many other closed ended funds. Is that it's actually low, I suppose low with any correlation between buybacks and dividends and actually how shares trade versus their NAV. So, even if we did, sell assets to pay the dividend, I'm not sure that would make much different from a discount. So, another one here tackling similar approach. Why do you not buy back shares to reduce the discount to NAV at the current price and NAV this would result in 100% return, this would be an efficient use of capital. Instead shares issued in lieu of dividends at a discount to NAV further reducing the NAV. These actions tell me that the fund is run for the sole benefit of the investment manager. Hence the share price of less than half NAV. And similarly on a similar vein, let me read one more question. Do you realize you're running on a treadmill by paying the dividend in stock at a massive discount you completely offset the stock buybacks. Alternatively, the stock dividend is just as diluted as the buybacks are accretive to NAV. You wouldn't sell shares at such a massive discount if you do it every quarter with the dividend. And so the answer is, I mean, yes, a lot of things to tackle here. Obviously, we do buy back shares, and in fact, we bought back $25 million worth last month and to put it in the long-term contact contacts and IPO with repurchase $685 million worth of stock. So, in principle, we absolutely and in practice agree with the proposal of buying back shares is accretive to the NAV per share. The second point about the scrip dividend as an alternative for investors. I mean, yes, absolutely. We have one way we always have it at the request of investors. For a certain group of investors, it's a particularly attractive way for them to take their dividends. And they get a meaningful benefit from taking dividends in stock. So that is the intention. But to put it in perspective, if you assume the current dividend and the current strip take up and the current discount, then the actual dilution on NAV per share is about $0.04 per quarter. And that is on the NAV per share of $24. So it's relevant, but it's a small amount. And the more important point is, over the years we've bought back many more shares and have been issued by the script dividend and so we're very cognizant of it. And I suppose to the last point, which is about run to the sole benefit investment manager. I obviously disagree with that point. But I think the one factor I'll point you towards is that including dividends and share buybacks, the company's returned over $1.4 billion to investors since IPO. So that's the number I would focus on that. So still on the theme of the discount to NAV the question read, the discount is at its widest than it has been for seven years. Can you please comment on your views -- your initiatives undertaken to narrow the discount? And whether a new approach is required? So I think Firstly, let's tackle the widening of the discount from let's say, sort of very broadly 45 to 60 over the last three to six months. And I would say, if you watch how it moved the share price move down in in March with the COVID sell off of all markets, but then have only had a very muted recovery notwithstanding the share buyback. So it's not tracked the NAV at all. And I think there are a few causes for that. I mean, the first and probably most permeant is the has been a seller putting pressure on the stock that we know of. And that obviously -- and that's relatively low liquidity environment has a big impact. I believe there is certainly some caution over broadly over companies with illiquid assets. And certainly there's been some fears many investments have discussed with us over the U.S. corporate loan specifically the CLO market. So those are sort of some short term issues. But I think at the risk of -- and I guess, risk of stating the obvious, invariably, we need to create more buyers and sellers for the price to rise. And we've focused on -- and I think I've mentioned these before but we continue to focus on -- continuing to build a good business that compounds returns. And that's the key measurement so a consistent ROE growth consistent NAV per share growth and paying dividends. We did demonstrate the assets and I would say in particular TFG Asset Management not only can grow but have repeatable earnings streams, and therefore support a sustainable return on equity for the business. I think and this gets to the point made earlier, we need to strive to make the business easier to understand not just for potential investors, but existing investors analysts in the street in general. We would love to increase the liquidity, and certainly are trying to encourage investors to trade on a single exchange rather than multiple exchanges. And we're doing what we can to broaden the universe of shareholders. We're trying to get out to intermediaries who are the dominant holders of UK closed end funds, institutions, both in UK, Europe, but also in the U.S. We're actively promoting and to try and get analysts to follow the company and right if they so well. And so there's a lot that we're doing and even obviously, we're doing less physical meetings in lockdown. We've done a fair amount of Zoom and Microsoft Teams meetings with current investors and potential new investors. So, that is the path that we're that we are on and continue to continue to be on. I think the couple of questions here that I think Paul is probably best set to answer. So Paul, can I get you to follow in on a couple here?
Paul Gannon: Sure. Yes. Yes. Okay. So, there's two on valuations. First one, private equity valuations, these have been strong. But is there a danger that these are lagging valuations to witnesses in the next six months? So, directly held investments that we have in private equity. These reflect up to date valuations at June 30th. Where investments are held in private equity or real estate commingled investment vehicles, then, typically there is a quarter's lag in terms of the reporting that we received from those fund administrators. So yes, there would potentially be a lag for those investments. But just to put into context, at 30th of June is approximately 112 million in our refunds and 55 million in PE fund vehicles, that comes to just over the 7% of the NAV. Next question, for the calculation of the NAV are all the investments checked for the new multiples post-COVID outbreak currently using the different economic sectors. So, when I think about level three valuations, level three assets that we have with within fund and the portfolio. There's two key investments fertile -- buckets investment, certainly TFG Asset Management, we use third party valuation specialists to value to TFG Asset Management. They value those investments as at June 30th. And so yes, have you utilized all the relevant market data as at that point. Secondly, we have a CLO portfolio. And that's been the assumptions that have been recalibrated the default rate assumptions have been approximately doubled for the next 12-months. And the discount rates applied to the projected cash flows are now 13% versus 11% at year and more details in the interim financial statements, note forum Page 10. Also I have a another couple of questions which I might just rattle through as well Paddy. Question your dividend cover is much lower than it has been. Please comment on your ability to pay a dividend going forward. Firstly, just a reminder of how we calculate dividend cover which is defined in the interim report, but it's the last four quarterly earnings per share divided by the aggregate of the last dividends per share for dividends per share as at 30th of June 2020. So, given the negative return of $0.74 per share, according the first half of 2020, this is obviously lead to reduction in the calculated dividend cover. However, given Congress only one way of looking at the ability to pay a dividend, clearly available cash is very relevant, but maybe more relevant than a dividend cover calculation. And Tetragon had $105 million of cash at the end of H1 versus just under $19 million have declared dividends in H1 to give you some context there. And in addition, when one considers the distributable reserves, Tetragon has almost 1.4 billion of retained earnings in equity, out of which future dividends are permitted to be paid. And final question I have is, why is the NAV of the equity investment down although you say that it gained $33 million in the period. So, the valuation of equities when converted into US dollars from GBP fell by $18.9 million during H1. However, this valuation decrease is offset by just over $19 million of realized gain on FX hedges employed against the GBP exposure. And in addition, there was $32.9 million of distributions received relating to further repayment of the loan notes held by Tetragon. And hand back to you now, Paddy.
Paddy Dear: Thank you. Sorry. Yeah, we've had a couple more here on dividends and discounts. But let's tackle them specifically. So the first read the dividend cut seemed a little over the top earlier in the year. Others strictly in the CLO space have adjusted their dividend policy upwards in light of the fact that market conditions have improved markedly since March. Disappointing that we looked like we continuing to run with a low dividend. And the second one reads, with the discount where it is should the company not be undertaking more aggressive buybacks. On face value, there are a few investments out there in the market that seem to offer better value. Are you really finding opportunities which offer much better returns and buying back your own stock? The threshold must be exceptionally high. If the raw, it'd be useful to know what the thresholds are for you to consider library investments. And so really, this is about use of cash. And obviously, I've talked a bit about it. But just to add a few thoughts. We try and take a very balanced view at any point in time where we're --when we're deploying cash. And that is to say we're looking at the pros and cons of all uses. And I guess that covers new investments and or dividends and or share buybacks. So as I mentioned before, we've actually spent $685 million on buybacks since IPO. So, they're fairly large amount has been spent that way. And we're strong advocates for share buybacks. And also obviously can do the math and know how accretive they can be to NAV per share. However, we do believe that the long-term success of our business is about making good investments and building valuable asset management businesses, not creating growing compounding enterprise value for shareholders. So I think, buybacks shouldn't be seen as a panacea for narrowing discounts. They also have limitations as they can always reduce liquidity of the shares by their nature they concentrate a risk in existing assets. They don't create new value. So it's always a balance. But I just wanted to sort of add that to what I've been saying before. And there's one more on this topic, which read, the market is telling you and has for many years pre-COVID that whatever NAV you produce will be valued at a massive discount. So your effective share return to investors is half what you think it is. When will you stop saying the market is wrong or stop making low effective return investments and start a real asset sale cap shrinkage program to drive the NAV higher and get a real return on these investments you've made? If the NAV is realistic, you get a massive IRR buying back down here and not by investing in more things that the market will value at $0.50 per dollar or less. So part of the answer to that is the answer I gave to the previous question which is all about a balance. Just using all cash to buy back shares, there's not a panacea for either the discount, and indeed doesn't help grow the company. But the second point on the statement is that just I think mathematically, I would disagree. If you buy into the shares at a discount, what matters to you is whether the discount widens or narrows, rather than the discount itself. Obviously, if you buy in at a 60 discount, and it stays at a 60 discount, you get the return of whatever the assets are getting. And so that, that would be the other piece of advice. And last couple more here, actually, there's one for Steve here, so I'll let Steve tackle that.
Steve Prince: Yes, thanks, Paddy. There's a question. It has been fairly quiet about the potential IPO of TFG Asset Management is this still in the cards. So, what I'd say is we're focused on building TFG Asset Management, which means improving and growing the businesses we have and adding new businesses and we are quite proud of our progress so far. We constantly look at ways to enhance the trajectory of the growth of all our businesses. And I would say GreenOak’s deal with SunLife is one such example of that. So, for an IPO, that also could be another way to access capital and accelerate growth. But as you all know, we're highly opportunistic, and we only consider that at the right time. Over back to you, Paddy.
Paddy Dear: Thanks, Steve. So, one couple more questions is coming in. And hang on one second. Just get them in order here. Okay, given the improving situation with CLOs. Are there any thoughts of at least restoring some of the dividend reduction earlier in the year? Well, obviously, I'm not going to make any forecasts of dividends. But there are a couple of things I think worth mentioning. Firstly, CLOs are about 14% of the NAV of Tetragon. So, whereas obviously, if one goes back to IPO, and in the early years, it was a significant majority of the asset classes we invested in, it is now relevant and meaningful, but only 14% of the total. So, it's not the be all and end all for either driving the dividend or indeed the NAV per share. The second thing I would say is that whilst markets have been improving, I don't think we are through a COVID crisis yet. I don't want to predict what's going to happen, but I think there are plenty of different outcomes. So, that that could happen over the ensuing 6-months, 12-months, 18-months, and suddenly too difficult to be making any forecast. And lastly, justify that the dividends are decided on at the time and not months in advance. So, those are the pieces I would just sort of add to that. And then there's one other here that I think probably Paul's going to tackle Paul, do you want to tackle the one on the specific from the scrip dividend.
Paul Gannon: Sure. Paddy, so please, can you give us a view on how many investors choose cash as dividend and what is the percentage of scrip dividend? So typically, and obviously this, this changes quarter-to-quarter because investors are able to make change those elections for each dividend about 30% to the script dividend, therefore 70% cash.
Paddy Dear: Thanks, and that finishes all the questions. So rather neatly wrapping-up in just under the hour but much appreciate your taking the time to be with us and look forward to speaking to you individually over the next coming months, thank you.
Operator: This now concludes today’s webcast, thank you for attending, you may now disconnect your lines.